Operator: Good morning, my name is Madison, and I will be your conference operator today. Welcome to the Ecovyst First Quarter 2025 Earnings Call and Webcast. Please note, today's call is being recorded and should run approximately one hour. Currently, all participants have been placed in a listen-only mode to prevent any background noise. After the speaker's remarks, there will be a question and answer period. [Operator Instructions] I would now like to hand the conference over to Gene Shiels, Director of Investor Relations. Please go ahead.
Gene Shiels: Thank you, operator. Good morning, and welcome to Ecovyst’s first quarter 2025 earnings call. With me on the call this morning are Kurt Bitting, Ecovyst’s Chief Executive Officer, and Mike Feehan, Ecovyst’s Chief Financial Officer. Following our prepared remarks, we'll take your questions. Please note that some of the information shared today is forward-looking information, including information about the company's financial and operating performance, strategy, demand trends, and our 2025 quarterly and full-year financial outlook. This information is subject to risks and uncertainties that could cause the actual results and implementation of the company's plans to vary materially. Any forward-looking information shared today speaks only as of this date. These risks are discussed in our filings with the SEC. Reconciliations of non-GAAP financial measures mentioned in today's call with their corresponding GAAP measures can be found in this morning's earnings release and in presentation materials posted in the Investor's section of our website at ecovyst.com. I'll now turn the call over to Kurt.
Kurt Bitting: Thank you, Gene, and good morning. Our results for the first quarter came in ahead of our expectations and provided a solid start to the year reflecting the continued resilience of our core and industrial businesses. At the top line, Ecoservices sales were up modestly and in line with our expectations given the heavy turnaround activity that we previewed during the fourth quarter call. Sales were lower as anticipated for region and virgin sulfuric acid volume associated with turnarounds at our sites as well as customer facilities. For advanced silicas, sales were in line with the prior year driven by higher-niche custom catalysts, while sales of advanced silicas used in the production of polyethylene were lower as customers pulled orders into the fourth quarter of 2024. Sales in the Zeolyst joint venture exceeded our expectations on favorable hydrocracking and specialty catalyst timing. Adjusted EBITDA for the first quarter was $39 million, above the high end of our guidance range of $24 million to $34 million, driven by the strong results from our Zeolyst joint venture. While lower than year-ago quarter, this was largely due to the anticipated implications of turnaround activity for Ecoservices. As we move into the second quarter, and with the majority of turnaround activity and costs behind us, we expect higher volume with favorable contractual pricing within Ecoservices driven by sequential growth in regeneration volume expected as we move into the summer driving season. As Mike will highlight in a moment, with historical stability of Ecoservices and our other businesses, we continue to expect strong cash generation this year, which would provide for optionality as we look to invest in growth initiatives and consider other capital allocation priorities. While the first quarter adjusted free cash flow reflected factors including lower dividends from the zealous joint venture due to timing and planned higher CapEx associated with our ongoing Kansas City expansion, we expect stronger cash generation over the balance of the year. This is consistent with our performance over the prior two years, where we have generated over $150 million in adjusted free cash flow in what we believe are some of the most challenging environments for the chemical producers in recent memory. Specifically, with regard to capital allocation, we believe that our current valuation and share price represents a significant disconnect from the intrinsic value of our business. Ecovyst has demonstrated the ability to generate cash through all types of cycles. We believe this track record of cash generation and the recent extension of our credit facilities enables Ecovyst to maintain a flexible and opportunistic posture in regards to capital allocation. Given this, we believe that opportunistic share repurchases provide a path for value creation for our shareholders. Our current share repurchase authorization has $230 million remaining. Over the course of the second quarter, we expect to allocate up to $30 million of the remaining share repurchase authorization to opportunistically repurchase shares, with the potential for further opportunistic repurchases in the third and fourth quarters. Ecovyst’s strong historical cash generation has enabled us to maintain a flexible and returns-focused approach to capital allocation. Our current focus on share repurchases is driven by confidence in our ability to fund our growth investments and a strong conviction that our current valuation is not indicative of the quality, profitability, or historical resilience of our business, nor is it reflective of our future growth prospects. I also want to emphasize that our expectation to opportunistically repurchase shares has no relationship to or connection with the timing of or anticipated outcome of the ongoing strategic review of our advanced materials and catalyst segment, and that any repurchase activity will be conducted in a manner consistent with the rules set forth by the SEC. Leverage reduction remains a high priority for Ecovyst, but we believe that any concerns about our headline leverage are mitigated by the realities of our capital structure and cash generation outlook. Last year, we refinanced our term loan credit facility, extending the maturity to 2031 and reducing the interest rate. And earlier this year, we also took advantage of favorable lending conditions to again reduce the interest rate. The bottom line is that we believe the cash generation capability of our business supports our current debt structure and leverage profile while providing significant flexibility to fund growth projects and other capital allocation priorities. As we turn to Slide 5, I want to provide our current assessment of direct tariff implications for Ecovyst. Our Ecoservices segment accounts for approximately 75% of our total sales, with less than 5% representing sales to Mexico and Canada. The business is U.S. centric, as well as service-oriented. The service is not currently subject to tariffs. Moreover, sulfur and sulfuric acid are also currently exempt from tariffs under the USMCA. As such, we see no direct tariff impact of any significance for Ecoservices. For our advanced materials and catalyst segment, we believe that we will have minimal exposure related to the incremental direct tariffs, estimating an impact on a full-year adjusted EBITDA in the range of $2 million to $3 million. As a global business, advanced materials and catalysts has raw materials and finished products which move around the globe. However, the vast majority of our raw materials consumed at our Kansas City site are either sourced within the U.S. or are currently subject to special tariff exemptions. In addition, our sales to customers based in China are mainly supplied from the U.K. and Korea, with no expected incremental U.S. tariffs. We are actively working to mitigate any incremental tariff exposure, including passing through tariff costs where contracts allow. As we turn to Slide 7, I'll provide an update on our near-term demand outlook. Overall, our outlook has not changed materially from the view we shared in late February. For Ecoservices, we see high refinery utilization and stable gasoline demand continuing to support our regeneration services business. As a reminder, our regeneration services support our refining customers' production of alkylate, a critical gasoline blending component. The economics of alkylate production and the importance of our regeneration services are not affected by overall refining margins. In fact, the value of alkylate to our refining customers becomes even more important when refining margins are under pressure. We continue to expect higher sales of virgin sulfuric acid in the second half of this year due to increased mining demand. We see the mining sector showing strong demand for sulfuric acid, driven by high global copper demand and supportive copper prices. We also anticipate higher lead-acid battery demand with customers' expansions slated to come online in the second half of the year. For virgin sulfuric acid sales into the nylon end-use, our customers have not signaled any significant change in near-term demand outlook. However, we remain mindful of the potential for softer demand across our industrial end-use exposures. For our Chem32 catalyst activation business, utilization remains high. We continue to see strong demand, which supports the ongoing capacity expansion at our Orange, Texas site. Turning to advanced silicas, we entered the year with an expectation that our polyethylene catalyst sales would continue to outpace global demand growth. We believe we remain well-positioned with significant exposure to the U.S. and Middle East, where producers remain cost-competitive with favorable feedstock and energy costs. However, the ongoing ambiguity regarding tariffs and their effects on cost structures is causing short-term uncertainty. We are closely monitoring how trade negotiations will influence global polyethylene flows, utilization rates, and catalyst sales. We believe that prolonged tariff uncertainty could result in lower utilization rates and ultimately lower catalyst demand from our customers. We do continue to expect that long-term growth in polyethylene demand will continue to translate into demand for our catalyst materials. This is supported by the ongoing capacity expansion in Kansas City, which will serve customer capacity additions coming online in 2026 around the world. Aligned with our emerging growth markets, we continue observing substantial engagement with technology leaders and biocatalysis applications. Many of these biocatalysis initiatives are presently in the pilot and scale-up stages, which is promising and provides confidence that our new launches will be successful. As with any new business activities, the timing of the sales is difficult to exactly predict. Within the Zeolyst joint venture, we still project sales of catalysts used in the production of sustainable fuels to be flat to slightly up this year. For sales of catalysts into emission control applications, we expect 2025 sales to be moderately down. We continue to project an increase in both hydrocracking catalyst sales and sales of specialty catalysts this year. We had favorable hydrocracking sales in the first quarter, and we have a strong order book for the balance of the year. In fact, we now see potential upside in hydrocracking catalyst sales this year, which we believe can offset any softer sales in advanced silicas. I'll now turn the call over to Mike, who will review our first quarter results in more detail.
Mike Feehan: Thank you, Kurt. Good morning. Our stronger than anticipated first quarter results were largely driven by the favorable sales timing within the Zeolyst joint venture that Kurt referenced. While adjusted EBITDA for Ecoservices came in toward the lower end of our guidance range, we saw a favorable customer-driven shift in sales timing into the first quarter for hydrocracking and specialty catalyst, helping drive more favorable results in the quarter compared to our initial guidance. Total sales for the first quarter, including our proportionate 50% share of sales from the zealous joint venture, were $200 million, up nearly 9%, with sales of Ecoservices and advanced silicas each up 1%, and sales for the Zeolyst joint venture up 60%. Adjusted EBITDA for the first quarter was $39 million, led by the higher volume in the Zeolyst joint venture, largely offset by lower earnings in Ecoservices related to the higher planned turnaround costs and lower sales volume associated with turnaround activity. Turning to Slide 10, I'll highlight the major components of the change in adjusted EBITDA for the first quarter. Sulfur costs increased approximately $7 million quarter over quarter, which were passed through in price, resulting in no material impact to adjusted EBITDA. The $2 million unfavorable net price impact, when combining price and variable costs, was primarily driven by the timing and contractual pass-through of certain costs, including energy and other index costs within Ecoservices. Volume and mix were favorable, driven by the higher sales volume in the Zeolyst joint venture, partially offset by lower volume in Ecoservices as a result of the turnaround activity at our sites and our customers' facilities. The remaining other component primarily represents increased manufacturing costs in Ecoservices associated with planned turnaround costs, less favorable absorption of fixed costs associated with inventory timing, and general inflation. I'll now turn to segment highlights in the first quarter, starting with Ecoservices. Sales of a $143 million were up 1% compared to the first quarter of 2024. Included in the period over period change in sales was approximately $7 million of higher pricing associated with the pass-through of higher sulfur costs, as well as favorable contractual pricing for regeneration services. It was partially offset by the pass-through of lower energy and other index costs. These price factors were largely offset by lower sales volume related to the higher turnaround activity during the quarter at our sites as well as our customers' facilities. Adjusted EBITDA was $29 million compared to $42 million in the year-ago quarter. The lower adjusted EBITDA reflects approximately $8 million associated with higher manufacturing costs associated with planned turnarounds, the timing of fixed cost absorption and general inflation, approximately $3 million of lower sales volume, and approximately $2 million of unfavorable net pricing on the timing and contractual pass-through of certain costs. Within our advanced materials and catalyst segment, sales for advanced silicas were $19 million, with higher sales of niche custom catalysts largely offset by lower sales of advanced silicas used in the production of polyethylene, as customers pulled orders into the fourth quarter of 2024. Our proportionate 50% share of sales from the Zeolyst joint venture were up $14 million, with higher sales of hydrocracking and specialty catalysts more than offsetting lower sales of materials used in emission control applications and the timing of sales into customized catalyst applications. First quarter sales from the Zeolyst joint venture were higher than previously anticipated due to customer-driven sales timing. As our overall full-year expectations for advanced materials and catalysts have not changed, we have rebalanced our view of sales timing for the remainder of the year, and I'll provide more detail on our expectations by quarter in a few minutes. First quarter adjusted EBITDA was $17 million, up $6 million, primarily due to the higher sales volume within the Zeolyst joint venture. Switching over to cash and leverage on the next slide, on a full-year basis, we still expect to generate adjusted free cash flow of $60 to $80 million. However, due to the expected timing of dividends from the Zeolyst joint venture and the higher planned capital expenditures, including the ongoing capacity expansion in Kansas City, our adjusted free cash flow was a use of $13 million for the first quarter. We ended the first quarter with $127 million of cash, and our total liquidity was $201 million, including availability under our recently amended and extended ABL facility. We ended the quarter with a net debt ratio of 3.2 times, up slightly from the year end driven by lower adjusted EBITDA on a trailing 12-month basis. Previously noted, we expect to close the acquisition of the Cornerstone Sulfuric Acid assets in the second quarter, funding the $35 million acquisition through cash on hand. As Kurt discussed, in light of our current share price and associated valuation, we firmly believe that opportunistic share repurchases are a prudent and value-enhancing use of capital. And while taking a more opportunistic approach to share repurchases will likely defer near-term achievement of our target leverage ratio of 2 to 2.5 times, we would anticipate ending 2025 with a leverage ratio consistent with the end of the prior year of around 3 times. In addition, we continue to be extremely comfortable with our current capital structure and leverage profile, given the resilient nature of our businesses, our projected cash generation, and the fact that we refinanced our term loan last year, reducing the interest rate and extending the maturity to 2031, and then further reducing the interest rate by another 25 basis points through a repricing of the term loan earlier this year. I will now shift to a discussion of our outlook for the remainder of 2025. Our first quarter results provided a strong start to the year compared to our original expectations. While the fundamentals of our business remain strong and we expect our core businesses to remain stable, given the volatile macroeconomic environment, we are cautious about the potential for weaker demand in industrial end uses and for near-term softness in utilization rates for polyethylene producers. In terms of full-year guidance, we now expect our sales to be higher by $30 million in a range of $785 to $845 million, driven by an increase in the estimated pass-through effect related to higher expected sulfur costs for 2025. Excluding the higher estimated pass-through effect of higher sulfur costs on sales, our outlook for Ecoservices remains unchanged. For advanced silicas, we continue to expect sales growth over 2024 levels. While we previously guided the higher sales of polyethylene catalysts to outpace global demand growth, we remain cautious on the potential secondary effects of tariffs and the macroeconomic conditions on polyethylene. For the Zeolyst joint venture, although first-quarter sales were higher than originally anticipated due to a positive shift in sales timing, our full-year view has not changed, and we are maintaining our previously communicated guidance ranges. However, we have observed further positivity in the sales of hydrocracking catalysts, potentially providing additional upside to our current forecast and offsetting any softer sales in advanced silicas. Our original guidance range for 2025 incorporated what we believe to be an appropriate level of conservatism. Taking into consideration the effect of increased tariffs, we are maintaining our prior guidance for adjusted EBITDA, expecting it to be in the range of $238 to $258 million for the year. I'll note that our full-year guidance does not include any contribution from the pending acquisition of the Cornerstone Sulfuric Acid assets. Assuming a second-quarter close, while the acquisition is expected to provide incremental sales and contribution margin for the balance of the year, we anticipate incurring additional costs for integration and upgrading the facility, including a potential turnaround and additional capital expenditures. As such, we do not expect the earnings from this acquisition to be meaningful in 2025. We do expect the incremental adjusted EBITDA contribution of the acquired assets will be more material beginning in 2026. I'll now turn to specific guidance for the second quarter. We expect second-quarter adjusted EBITDA for Ecoservices to fall in the range of $47 million to $53 million. The sequential increase from the first quarter reflects higher projected sales volume associated with lower turnaround activity and seasonally stronger demand for regeneration services as we move into the summer driving season. For advanced materials and catalysts, given the positive shift in sales timing that benefited our first-quarter results, with some sales pulled forward from the second quarter into the first quarter, we now expect second-quarter adjusted EBITDA to be in the range of between $6 million to $10 million. Assuming unallocated corporate expense of approximately $8 million for the second quarter, we expect consolidated adjusted EBITDA to be in the range of $45 million to $55 million. Slide 15 provides detailed commentary on the directional guidance for the third and fourth quarters. I'll highlight a few key points. As discussed on our year-end call, we anticipate our earnings to be more heavily weighted toward the second half of the year. We expect the third quarter of 2025 to represent the peak quarter for both Ecoservices and advanced materials and catalysts, led by strong year-over-year volume growth for regeneration services and favorable contractual pricing in Ecoservices and higher expected sales of hydrocracking catalysts and sales of materials used in sustainable fuel production in advanced materials and catalysts compared to the third quarter of 2024. Looking at the fourth quarter, in Ecoservices, we expect regeneration services and virgin sulfuric acid volume to be in line with the fourth quarter of 2024, but with stronger pricing for both, driven by contractual price increases and higher demand in certain end uses. For advanced materials and catalysts, we expect stronger sales in advanced silicas, primarily for niche custom catalysts, including biocatalysis applications, but expect lower sales within the Zeolyst joint venture, reflective of order timing. In addition, included in our earnings presentation, we have provided a schedule reflecting planned turnarounds by quarter through 2026. Turnarounds for individual units are often performed every 18 months. It can vary depending upon several factors, including coordinating the timing with our customers' planned turnarounds. And while the scope and cost can vary for each, this schedule reflects our current estimate of the number of units requiring turnarounds by quarter. I'll now turn the call back to Kurt for some closing remarks.
Kurt Bitting: Thank you, Mike. The challenging environment our industry faced in 2024 has continued into 2025, with perhaps more near-term uncertainty presented by the recent escalation of tariffs. However, we believe Ecovyst remains well-positioned to deliver in the current environment. Although we see potential for near-term softness in industrial demand related to the secondary impacts from the tariffs, the longer-term demand fundamentals for the majority of end uses we serve remains intact. For Ecoservices, we continue to project growth in 2025, driven by the aforementioned high refiner utilization and favorable demand in mining. For our advanced materials and catalyst segment, we have a solid start to the year with strong sales of hydrocracking and specialty catalysts. Regarding the current tariffs, we anticipate $2 million to $3 million in direct EBITDA impacts. Additionally, our sales of advanced silicas may face near-term softer demand fundamentals resulting from slower macroeconomic conditions and customer timing. However, we currently observe the potential for upside in hydrocracking catalyst sales, which we believe will balance our full-year expectations for this segment. Overall, we currently believe both segments are positioned to deliver on their financial objectives for the year. As a result, we are maintaining our prior guidance range for full-year 2025 adjusted EBITDA. In our fourth quarter earnings call, I stated that in 2025, we would maintain our focus on capturing growth opportunities and on delivering value for our shareholders. I believe we are demonstrating progress on these commitments. Last month, we announced an agreement to acquire the sulfuric acid assets of Cornerstone Chemical Company. We believe the acquisition will significantly enhance Ecoservice's Gulf Coast network and provide a significant addition to our existing capacity on an extremely attractive cost basis that will enable us to serve our customers' future growth needs for both virgin sulfuric acid and for regeneration services. We expect the acquisition to close this quarter, and we look forward to welcoming the Cornerstone team to Ecovyst. In terms of creating value for our shareholders, the strategic review of our advanced materials and catalyst segment is underway, and we still expect the process to run through mid-year. As we indicated in late February, we will share more when the process is complete or when we determine that further disclosure is required or beneficial. Lastly, we believe Ecovyst remains well-positioned for growth. We are a leading provider across the varied end uses we serve. We have resilient businesses with attractive margins, strong cash generation, and clear strategic direction. Given our ongoing commitment to enhancing shareholder value and in light of our current valuation, we believe opportunistic share repurchases will result in value creation for our shareholders. At this time, I will ask the operator to open the line for questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from John McNulty with BMO Capital Markets. Please go ahead.
John McNulty: Yeah, good morning. Thanks for taking my question. And first off, just really hugely helpful on the color around the quarters and on the turnarounds too, so I definitely appreciate the help there. On the polyethylene catalyst front, I guess maybe two questions on that. Have you already started to see a slowdown tied to the tariffs and kind of some of the macro confusion at this point, or is that just something you're potentially worrying about? And I guess the other question on polyethylene, I know you've got this 2026 facility coming up. Have you seen or heard any delays from those potential customers that you've locked in around the ramps of their platform, just given kind of what's going on in the global macro?
Kurt Bitting: Hey, John, good morning. Thank you. Thanks for the question and thanks for the comments. So really on polyethylene, we haven't seen anything to date in terms of, you know, any cracks or anything regarding the tariffs or the overall knock-on effects on the macro. It's just something that we keep our eye on. Obviously, it's more globally traded than our other products, and we talk about sulfuric acid or some of the other things that we're into. And, no, we have not heard of or seen any delays in terms of the customers that are expanding and putting in new production, which is leading to our capacity expansion in Kansas City.
John McNulty: Okay, got it. And then just thinking about the tariffs, I mean it sounds like you don't really have much exposure, at least direct exposure at this point. When you think about the end markets that you serve, we don't know exactly where the tariffs are going to go, but if the U.S. kind of keeps this somewhat isolationist view or approach, do you see opportunities for increased volume from your U.S. customer base or in the end is it kind of net out to neutral? I guess how are you thinking about that?
Mike Feehan: Yeah, well, I mean if you look at Ecovyst as a whole, you know, 75% of the sales, consolidated sales, are really in the Ecoservices business, which really leans into U.S. manufacturing. So, I would say from a general direction, we benefit from U.S. manufacturing being positive. But if you look at the individual segments, regeneration, refinery looks to be strong. Mining, you know, is really being driven at this point from just the overall trends towards AI and electrification, data centers, which is really pushing for metals and materials. And then you look at other areas where we play into industrial spaces for things like nylon used for auto or wire coding and so forth. So generally I think we would benefit. And then in terms of the AMAC side, I mean, we also produce a lot in the U.S., which we benefit from. But we also have global production, right, where we service some of the other markets, which allows us to largely avoid the large impacts of tariffs.
John McNulty: Got it. Thanks very much for the call.
Operator: And your next question comes from the line of Patrick Cunningham with Citi. Please go ahead.
Patrick Cunningham: Hi. Good morning. Can you help us understand the structural price environment for sulfuric in the first quarter here and maybe expectations for virgin pricing going forward? Prices seem to be moving up pretty rapidly here. Is there any of that sort of structural price movement embedded in the guide beyond pass-through for the balance of the year?
Mike Feehan: Yeah. No, thank you, Patrick, for the question. So, when you look at overall sulfuric prices and so forth, a lot of that's being driven by the increase in sulfur prices that was witnessed in first quarter. And I think we had talked about it previously on the call. There was obviously a tremendous amount of U.S. refining turnaround work that took place in the first quarter, which led to a lot of the sulfur price increases. We saw a knock-on sulfur and another sulfur increase here in the second quarter. So, as you know, our business, we pass through those sulfur prices across to our customers on a quarterly basis. So, we don't largely get impacted by any sulfur increases. We do see overall U.S. demand for sulfuric acid is, again, looks pretty firm, especially in terms of things like mining. But the Ecoservices business is largely contracted, you know, 90-plus percent. So, our pricing and so forth is largely mechanical and based on indices and sulfur pass-throughs. But around the increments there certainly is opportunity as the market looks healthy going into the rest of the year.
Patrick Cunningham: Appreciate that. Very helpful. And then, I appreciate the commentary on the Cornerstone acquisition as it relates to 2025. But any sort of expectations on the potential EBITDA contribution for 2026? And after you work through integration, turnaround, how does sort of adding another asset to the network maybe help whether it's absorbing volume impact or getting additional fixed cost efficiencies, just trying to understand that a bit better.
Mike Feehan: Yeah, sure. I mean, we're not going to guide through the specifics on the EBITDA, and again, we expect to close on it here in the second quarter. What I've told, what I've told people and I've told the people internally is, this is a situation where it's, one plus one equals three, right, in terms of our sulfuric acid network, where it's going to give us the ability to fill the gaps in when we typically may have to pass on volume opportunities or control our volumes as we store up inventory when we take our own turnarounds. Adding another facility to our network, certainly in the Gulf Coast, so you're talking roughly a 15% bump in our Gulf Coast sulfuric acid capacity, which is our largest and biggest market, clearly. It just gives us the ability to fill those gaps in a lot more and service our customers, service Cornerstone customers more reliably, but also take advantage of opportunities that we may not have been able to take advantage of otherwise.
Patrick Cunningham: Understood. Thank you so much.
Operator: And your next question comes from the line of Aleksey Yefremov with KeyBanc Capital Markets. Please go ahead.
Ryan Doughty: Thanks. Good morning, everyone. This is Ryan Doughty on for Aleksey. Congrats on a nice quarter, and I echo the same comments that John had earlier. Really appreciate the commentary kind of on the second half by quarter. It's very helpful. I guess just first question, I guess to dig in on the 2025 guidance just a little bit. It's still pretty second half weighted. So I wanted to understand, are some of these orders locked in just given like the uncertainty that's going on in the market? I want to get a better understanding for what's kind of giving you guys' confidence at this stage.
Mike Feehan: Yeah. Hey, Ryan, thanks for the question. Yeah, I think so from a 2025 guidance, you know, we did talk about this on the previous call that we expect it to be back end loaded. And a lot of the reasons that we talked about before was more of a cost structure perspective versus more of a volume risk. There was more cost at the Ecoservices for the turnaround activities for which 80% of that will be done in the first half. The AM&C business is more timing related, right. So again, we're not worried from a volume standpoint. We do see as Kurt mentioned risk, because of the knock on effective terrorists in the macro economic environment that we are in. But a lot of our end markets are still very strong and don't have the same level of risk that others do. We also see that within our AM&C business there's some positivity coming out of the hydrocracking catalyst side. We see strong pricing, as Kurt mentioned in the Ecoservices side to help guide us through the rest of the year. So while it is back end loaded, we do feel very comfortable not because there's any bond as much volume risk is that this more less cost pricing contracts going up and having the timing aspects that we talked about before within the AM&C business.
Ryan Doughty: Very helpful. Thank you. And just going back to the Cornerstone acquisition, I understand you guys aren't going to talk about just kind of what the underlying you've done with the businesses, but how are you guys thinking about the synergy potential of just merging this asset kind of with your existing asset base in the Gulf coast? And how quickly do you think you guys could start delivering on those synergies? Thanks.
Kurt Bitting: Yeah. Thanks for, thanks for the question. So the synergies as we see in Cornerstone is there's, there's obviously a tremendous amount of networking synergies is I tell people we've got barges that pass that facility every single day of the year. So it gives us another supply point and it allows us to access again, opportunity that we would either Cornerstone or Ecovyst wouldn't be able to take advantage of just because it just gives us more collective capacity to service our general Gulf coast network. And there's also going to be a lot of, I would call maybe horizontal synergies between the plants. We obviously have been making sulfuric acid, I think since 1890 have a lot of experience in that. So we'll be able to bring a lot of manufacturing expertise, operational excellence expertise to that site that was quite frankly run as a standalone sulfuric acid site. So it's going to be joining a family of a lot of sulfuric acid experience. So we do expect to capture networking, and those kinds of horizontal industrial synergies pretty quickly.
Operator: Thank you. And your next question comes from the line of Lawrence Alexander with Jefferies, please go ahead.
Daniel Rizzo: Hey, this is Dan Rizzo on for Lawrence. And I'm sorry if I missed this, but just to kind of add to what you just talked about, is there other revenue synergies there as well? Is there, I'm questioning, is that something that's really not part of it?
Kurt Bitting: No, I think we look at it, we don't really reference revenue synergies as marketing and networking synergies, right. So we operate a lot of our plants will service multiple customers, both share customers and so forth. And because we have a lot of very large customers. So plugging that in, we'll be able to help service each other's, each other's customers. Obviously we have a -- our commercial team markets, the most sulfuric acid in the United States and the most regeneration services in North America. So we'll be taking that on as well. So I would say there would be some marketing synergies in addition to those networking synergies.
Daniel Rizzo: And are there other, this is a one-off, are there other opportunities potentially, obviously potentially for kind of increasing your network in that region or just elsewhere?
Kurt Bitting: Certainly. We're always looking, our sulfuric acid, we run at very high utilization rates, the industry runs at pretty high utilization rates. So we're always looking to increase our capacity, whether that's through organic de-bottlenecking and expansions or inorganic opportunities as well.
Daniel Rizzo: Thank you.
Operator: Thank you. And our next question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Hi, good morning. So about hydrocracking and what you're seeing there, you saw some downtrend for a good year or so. How is this natural or is this inventory restocking? Do you have any clarity there?
Kurt Bitting: Thanks for the question, Hamed. This is really, we've had two things. There's no real restocking in this segment. It's based on refining turnaround activity. So we've seen some of those refinery turnarounds are now coming to a cycle where they're going to be conducting turnarounds. Additionally, we've won, I would say, additional business with our mock product. We've been able to capture new refineries. There's been a nice uptake of that product as it's been rolled out in the last few years. And as these turnarounds hit new, refineries hit new cycles, new turnaround cycles, we've gotten more uptake on the mock. So it's a combination of the timing of those turnarounds as well as good uptake of our new mock product.
Hamed Khorsand: Great. And then could you just comment on the Ecoservices, the contractual pricing? How set is that given the market dynamics?
Mike Feehan: Sure. I mean, well, about 90, I would say, really, our regeneration contracts are 100% really under contract, and those rotate with just market indices and labor indices and pass-throughs and those sorts of things. We do obviously have contracts that roll off every given year, and there's some of that happening this year, which is giving us an uplift in regeneration prices, and that's booked. The virgin sulfuric acid, roughly 90%, is under contract, and so those contracts will run the span of the year, giving us the ability to pass through the sulfur and so forth. And we do maintain, I would say, about 10% of our business. It's on 30-day pricing for things like distribution or spot business where we have the ability to move the price much quicker based on whatever the market is doing.
Hamed Khorsand: Thank you.
Operator: Thank you. And we have no further questions in queue at this time. This does conclude the Ecovyst first quarter 2025 earnings call and webcast. Thank you for your participation, and you may disconnect at any time.